Operator: Good afternoon, everyone. Thank you for attending today’s West Bancorporation Q1 Earnings Call. My name is Viera and I will be your moderator today. [Operator Instructions] I would now like to pass the conference over to our host, Jane Funk, CFO of West Bank. Please proceed.
Jane Funk: Thank you. I just want to start out by thanking everyone for joining us on our call today. With me in our conference room, I’ve got Dave Nelson, our CEO; Harlee Olafson, our Chief Risk Officer; Brad Winterbottom, Bank President; and Brad Peters, our Minnesota Regional President. I will start out by reading our third disclosure statement. So during today’s conference call, we may make projections and other forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events or the future financial performance of the company. We caution that such statements are predictions and that actual results may differ materially. Please see the forward-looking statement disclosure and our 2023 first quarter earnings release for more information about risks and uncertainties, which may affect us. The information we will provide today is accurate as of March 31, 2023, and we undertake no duty to update the information. At this point, I’ll turn it over to Dave Nelson.
Dave Nelson: Thank you, Jane. Thank you, everyone, for joining us today. We appreciate your interest in our company. With all that has been happening during recent months with our economy and specifically within our industry, our first quarter turned out as we expected. The inverted yield curve has contracted our net interest margin and adversely impacted earnings. Given the run-up in deposit costs and uncertainty surrounding the economy, we think we have fared fairly well to remain relatively flat with loan and depository balances. When we say our deposits are relationship based, we don’t just mean people are loyal to our brand or logo. We mean we actually know them personally and interact with them frequently. We actually know what is most important to each other and try to mutually provide that to one another. So we have not had customers withdraw deposits for irrational reasons. We have lost some deposits due to some customers chasing a higher rate, and some business owners have been using their own reserves for various business purposes, but we have not lost customers. We are also successfully gaining new business. Obviously, our net interest margin has taken a hit as deposit costs have increased faster than loan yields. This problem will persist until the inverted yield curves, subsides and the yield curve normalizes. West Bank is well capitalized and has plenty of liquidity and funding sources with the ability to get more if it were advantageous to do so. While we do have several opportunities in our pipeline, I don’t think many, including me, are expecting our overall economy to grow much this year. If our economy does not grow, it is not possible for our industry as a whole to grow. Higher interest rates and fear of economic recession are expected to reduce loan demand. Our credit quality remains pristine, and we just had our seventh consecutive quarter end without having a single loan past due 30 days. Rapidly increasing interest rates temporarily harm our net interest margin, but as assets reprice and rates stabilize, we believe our net interest margin will improve in our historic level of earnings will return. We are willing to pay up on deposits to maintain our customer base and position ourselves for long-term success. Our Board of Directors has declared a quarterly – regular quarterly dividend of $0.25 per common share. The dividend is payable on May 24, 2023, to stockholders of record on May 10 of this year. Those are the extent of my prepared remarks. So I’d now like to turn the call over to our Chief Risk Officer, Harlee Olafson.
Harlee Olafson: Thank you, Dave, and good afternoon. I’m going to repeat a couple of things Dave said, Credit quality remains very strong at West Bank. And as he said, for a seventh consecutive quarter, we had zero loans past due over 30 days. We have no OREO and one loan of $300,000 on non-accrual. Our watch list is at a historically low level. We have continued to focus on our customers’ global cash flows, dealing with the customer base that has strong sources of liquidity and strong global cash flow has served us well, as shown on my lack of pass-throughs over a long period of time. We continue to stress test our portfolio and individual loans that are maturing and will have rate increases. Most loans are fairly seasoned with relatively low loan to values and have excess cash flow to cover increased costs. We have a diverse loan portfolio with our largest concentrations as follows: C&I $527 million, multifamily housing $436 million with an average loan-to-value of 69%, Warehouses $280 million with an average loan-to-value of 64% and hotels, $273 million, average loan-to-value is 66%; medical office properties $197 million, loan-to-value, 59%; office and owner-occupied office properties, $186 million with average loan-to-values of 70%; senior housing, $150 million average loan-to-value of 64% and mixed-use properties of $96 million with average loan to values of 60%. Our portfolio also has geographic diversification with 50% of our outstanding balances in volume with 25% in Eastern Iowa and 25% now in our 4 Minnesota locations. West Bank’s focus is to provide the best service to our customers to obtain all of their business. We have strong customer retention and have brought in significant new C&I relationships. With depository costs increasing along with loan rates, new development has declined. That being said, there are plenty of opportunities to further our existing relationships and propose on new business. The economy and rising interest rates will continue to be a challenge. Lower profit margins will be a price we need to pay to keep our customers. rates that do not increase at the same pace as they did in 2022, allow our margins to trend back to more historic norms. I’ll now turn the call over to Brad Winterbottom, our Bank President.
Brad Winterbottom: Thank you. My comments will really echo some of the things Dave else you talked about. For the first quarter, our gross loans plus PPP loans outstanding were $2.76 billion, up just under 1% from year ended 2022. A reduced pipeline driven mostly by the higher interest rate environment with expected payoffs from refinance and asset sales impacted our growth in loans outstanding. While the pipeline is a bit smaller than prior quarters, there are still good activity that we are working on to close in the near-term. We have gained some traction in our deposit gathering sales, which remains a priority. We are replacing loans from normal amortization and asset sales with higher priced loans, which will help the margin in time. We are pleased with the entire team’s efforts and are encouraged with our sales call activities. With that, I am going to turn this over to Mr. Brad Peters.
Brad Peters: Thanks Brad. Good afternoon, everyone. I’m going to provide a brief update on our expansion into Minnesota. Our team continues to make solid progress in growing each of our Minnesota regional centers. In these uncertain times, our bankers are actively working with our clients in providing value through our deep relationships. In spite of the challenging environment, we continue to grow our business. The majority of our new business is C&I, which has grown our deposit and treasury management business. The Mankato market is looking forward to occupying its new facility with plans for completion late this summer, and our Owatonna market has identified a site for a new building, and we anticipate construction of that to begin later this summer. That is the end of my comments. I will now turn it back over to Jane.
Jane Funk: Thanks Brad. I’ll just make a few comments about our financial statements. On the deposit side, the decline in deposits this quarter was primarily due to a decline in broker deposits and public fund deposits. Other core deposit fluctuations during the quarter were normal operating activities of our commercial customer base, including March income tax and property tax payments. Deposits have increased $40 million in April, primarily as a result of tax receipt allocations of our public fund depositors. We continue to see significant rate competition from treasury money market funds and end-market competitor money market and CD rates. We’re also seeing a migration within our deposit base from non-interest-bearing or low interest-bearing checking and operating accounts to higher-yielding money market and CD options. Customers have become much more active in managing their operating and surplus cash balances. An estimated uninsured deposits, which excludes the public funds that are covered by state programs to make up approximately 33% of our deposit balances at quarter end. We primarily utilize Federal Home Loan Bank advances and broker deposits to manage our deposit fluctuations and loan growth over the last year. Our liquidity position at March 31 consisted of $452 million of available funding from Federal Home Loan Bank and Federal Reserve, which are secured by loans and securities. We have $35 million of unsecured Fed fund lines with other financial institutions, we have $350 million of unencumbered securities. We also have access to additional brokered funds through contracts with two brokers and intersite one-web option. First, net interest margin, our net interest margin, as mentioned, has been significantly impacted by the pace of increases in short-term interest rates and the scale and longevity of the inverted yield curve. The reduction of liquidity in the market and competitive short-term interest rates has resulted in rising cost of low deposits that has significantly outpaced our repricing of our assets. By the nature of our loan portfolio and our concentrations and fixed rate CRE loans, ongoing repricing of loan amortization and maturities should benefit our loan yield in future periods. However, any additional migration of deposits from low-cost deposit accounts to higher-yielding money market and CD options will put additional pressure on our margins. Those are the end of our prepared comments, and we want to open it up for questions now.
Operator: [Operator Instructions] Our first question today comes from Brendan Nosal with Piper Sandler. Please proceed.
Brendan Nosal: Hey, good afternoon folks. How are you doing?
Jane Funk: Good, Brendan. How are you?
Dave Nelson: Good afternoon.
Brendan Nosal: Good. Good, thanks. Let’s see, maybe you can start off on kind of the funding and deposit pricing area. I was just hoping you could walk us through how funding costs evolve kind of month-to-month over the course of the first quarter kind of when you felt the most pressure. And then if you happen to add it where stock funding costs were at the end of March?
Jane Funk: Yes. So our funding costs on the deposit side, we did increase our money market rates in the first quarter, which was probably the biggest impact on our deposit costs. We saw a lot of competitive pressure in the money market area. I think prior to first quarter it was more CDs and things like that. But the more liquid funds, we’re seeing more pressure on those rates. So that’s where I think most of the pricing pressure came on the deposit side.
Brendan Nosal: Got it. Okay. And then in terms of the mix that you saw within the deposit base this quarter, like many other banks, I’m just kind of curious when – and what part of the quarter was that have – was it kind of at the start of the quarter or more around the March time frame given the bank value occurred then?
Jane Funk: I would say the bank failures were not – didn’t have a significant impact on our deposit balances. At that time, we’ve had a lot of interaction with our customer base over the last year as it relates to deposit pricing and things like that. So I think, again, our relationship-based model allows us to have conversations directly with our customers. And certainly, we were fielding questions at that time. But as Dave said, there really was – we didn’t see the irrational behavior that some of the other parts of the market we’re seeing.
Brendan Nosal: Got it. Okay. Alright. And then can you maybe update me on how much index deposit balances you had that would hopefully reprice lower whenever the Fed start cutting rates?
Jane Funk: Yes. Those have been pretty steady around that $800 million, Mark.
Brendan Nosal: Okay. Prefect. And then maybe on the kind of the other side of the balance sheet, just kind of curious where new loan production is coming on sheet today in terms of the new rate.
Dave Nelson: Say that again. where the loans are coming from?
Brendan Nosal: What rate of new loan production is coming on at?
Dave Nelson: I would say mid- to high 6s, maybe touching 7 on occasion.
Brendan Nosal: Okay. Alright. Prefect. With the loan-to-deposit ratio up to kind of 98.5%, – just kind of curious how much comfort you have operating there and how much higher you will be willing to push that in the short-term if kind of the flows between loans and deposits don’t completely aligned.
Dave Nelson: Well, that’s a good question. And I’m not sure that we’ve ever talked about having a specific maths on a loan to deposit. I can tell you, our pipeline has shrunk. We’re not running from new loan opportunities, but we’re also – have had a lot of discussion in activity in terms of gathering additional deposits. And so I think that our efforts of deposit gathering has increased over the last 6 months than prior as the cost of funding has increased. But we are – during the first quarter, I know that we closed over $200 million in loan commitments that doesn’t equate to outstandings, but it’s – so the pipeline is still okay. It’s not as robust as it was this time a year ago. But we’re out chasing daily.
Brendan Nosal: Got it. Got it. Okay, that’s super helpful. Maybe kind of taking the content on the loan pipeline and kind of thinking about overall loan growth for the year, obviously, a bit softer to start the year. But just kind of curious how you see the balance of the year shaping up in terms of growth percentage?
Dave Nelson: We don’t have a number there. we are aware of additional assets that have been sold that are expected to close in the next few months. That will – in their bigger loans. So I don’t see the type of growth that we’ve had in prior years, which are double digit. I don’t think that’s going to happen this year, but that’s a guess.
Brendan Nosal: Yes. So helpful. Okay. Good. Maybe just turning back to the margin for a moment. Do you think happen to have what the NIM was for the month of March, just to get a sense of kind of where it finished the quarter?
Jane Funk: It was say – I think 220, 221 – the March net interest margin?
Brendan Nosal: Okay. So it seems like it’s at least stabilized a little bit. The full quarter was 223 and March was with 221, right?
Jane Funk: Yes. I would say the – at the pace of the Fed increases have slowed down, then the hit to our margin have slowed down.
Brendan Nosal: Okay. Prefect. I guess another way I can ask that as NIM was down 26 bps this quarter, 28 bps last quarter. It sounds like that shouldn’t repeat again at that time in the second quarter, correct?
Jane Funk: We hope not, assuming – but again, depending on what the Fed does, depending on the migration of deposits those types of things will certainly play into it.
Brendan Nosal: Yes. Okay. I know that there is an endless number of moving pieces here, but that’s definitely a couple of ones there, but maybe just kind of turning away from those topics to the expense base. Any thoughts on how you go about managing the overall op base in a really challenging revenue environment.
Jane Funk: Well, our efficiency ratio this quarter was 55%, which is not where we normally would like to be. The biggest impact on that was the net interest margin. I think the – what benefits us is our cost structure in that in a normal operating environment, we are usually in the 40s. So, we can withstand some of this net interest margin pressure without having to make significant cuts in expenses.
Brendan Nosal: Got it. Okay. Good. Maybe turning to credit quality and in particular, office, I think the slide deck noted that office is about 7% of the total loan book. I think I caught the LTV in your prepared remarks. Is there any more color you can offer on that portfolio? Maybe that’s the split between urban and suburban exposure, average loan size, debt service coverage, anything like that?
Dave Nelson: Yes. Actually, the office portfolio that we have is performing very well at this time. We only have one real urban office property, which is basically occupied by a law firm, a construction company, and another firm, so it’s 100% occupied. It’s fairly new with long-term tenants. Our other office properties, we have a fair amount of office properties that are owner occupied. And we also have a fair amount of suburban office properties that are in very strong hands. So, the average cash flow at our office properties in our latest stress test is over debt service coverage of over 140. And if you are looking at medical office, most of the medical office properties are clinics that are doctor held and performed very well, EBIT at a higher level.
Brad Winterbottom: I would also just add that some of those office loans that we have outstanding, there are guarantees behind it that sit behind it with substantial like two commas worth of liquidity that stands behind their guarantee. So, they are in – these are with very seasoned long-term customers that have a substantial balance sheet behind it – that stand behind it.
Brendan Nosal: Excellent color and it really helps us to kind of benchmark exposures across various banks, and I know that stock up. Maybe one more question from me on capital, nice to see ratios starting to move in the right direction again, as you guys recapture some of the AOCI hit from last year. So, maybe with the outlook for modestly slower loan growth this year, just kind of lay out your updated capital priorities and what you are trying to accomplish this year and how you want to use it?
Jane Funk: Well, I think we are in a strong capital position. And for the course of the next 12 months, again, like we mentioned, not necessarily expecting a significant amount of economic growth, which means probably not a lot of growth in the banking industry. And so our balance sheets, we don’t see a lot of growth or a lot of change over the next year. So, our capital position, ideally with the retained earnings for the year. And if there is any improvement in the AOCI, we would expect capital to continue to strengthen.
Brendan Nosal: Alright. Perfect. Thank you all so much for taking so many of my question and I appreciate it.
Jane Funk: Thanks.
Operator: Thank you for your question. Our next question comes from David Welch with River Oaks Capital. Please proceed.
David Welch: Alright. Thank you. And I will acknowledge this will probably not be an articulate question, but I think you will understand what I am looking for. You are heavily into commercial real estate on earning assets. At least my understanding is that generally is not a very deposit-heavy clientele. I am looking for kind of your thoughts and however, general terms you would like about the difference between your customers on the earning asset side and the customers on the funding side. And then specifically, in today’s environment, are you open to extending loans that don’t bring deposits in.
Harlee Olafson: Maybe I could address that. Our biggest concentration is actually in our C&I portfolio. And I think the one part that gets missed when we look at this is how liquid our C&I customers are and the low level of borrowing that they have on their lines of credit. Our lines of credit are unfunded to about $1 billion. And when you look at the balance sheet of the bank, the – a lot of the assets are invested in either owner-occupied or commercial real estate investor developer type. But from a customer base, we have a significant customer base in C&I that are depository customers and also individual owners and personal customers. I don’t know if it helps.
David Welch: Yes. It helps and go ahead.
Dave Nelson: I would also add, we are about – we are not quite 50% through annual renewals of lines of credit. But for the most part, all of our C&I lines of credit that we are renewing for an additional year, we have looked at their balance sheet, their income statements, those have all had positive impacts in 2022. So, our borrowers are stronger and maybe a little bit more liquid than they were a year ago. And then you asked a question about do we make loans and not require deposits. That’s something that we do not do. We just don’t do that. We are not doing transactions. We are looking for relationships. We don’t really – we don’t do a deal.
David Welch: Okay. That’s good to know. And I just want to read a couple of numbers and tell you where I am coming on. I am just going to ask you if this is simply wrong. I am looking at disclosure from what’s now S&P, formerly SNL using your Y-9C. And it’s telling me that your real estate loans to total loans at year-end, so I am a quarter off. At year-end, we are 79% and your C&I was 17%. Are those just wrong numbers?
Jane Funk: No. I think what Harlee was saying was we have got a significant customer base and C&I type of customers they don’t necessarily show up on the balance sheet because a lot of their lines of credit are unused. So, we have got a strong base of C&I customers that help to fill our deposit base. They just aren’t heavy borrowers.
David Welch: Okay. So, 79% of the loans are real estate, but that’s not necessarily taking into account the lines of credit that are not drawn, okay.
Jane Funk: Correct. Yes.
David Welch: Thank you for the clarification.
Operator: Thank you for your questions. There are currently no questions registered. [Operator Instructions] There are no questions waiting at this time. So, I will pass the conference back over to the management team for any further remarks.
Jane Funk: Alright. Well, we just want to thank everybody for joining us today. We will do this again in three months for the second quarter. And thanks again.
Operator: That concludes the West Bancorporation’s Q1 earnings call. Thank you all for your participation. You may now disconnect your lines.